Alexander Bergendorf: Good morning. So this is the Axfood's Second Quarter 2025 Telecom Conference. And with me today are Simone Margulies, President and CEO; and Anders Lexmon, CFO. In the Investors section of our axfood.com website, you will find the presentation material for today's call. We encourage you to have that presentation at hand as you listen to our prepared commentary. After the presentation, we will be taking questions. A recording of this call will be made available on our website. I will now hand over the word to Simone. So please go to Page #2.
Simone Margulies: Thank you, Alex, and good morning, everyone. We summarized a strong second quarter with growth that significantly exceeded the market development. We have a continued momentum in Willys, Hemköp and Snabbgross and through affordable and attractive offerings, more customers are choosing to do their grocery shopping in our stores. In addition, the investments that we made in automation and logistics in recent years are now contributing to efficiency and competitiveness for the group. At the same time, strategic initiatives are ongoing to further strengthen our presence and the market positions of our retail chains. Also during the quarter, we made important progress in sustainability, including the inauguration of Sweden's largest solar park. So let's turn to Page 3 and the agenda for today's presentation. I will start with a brief market overview, and then I will give you a brief review of our second quarter performance and strategic agenda. Following that, Anders will take you through the financials. And lastly, just a summary from me before we open up for questions. Turning to Page 4, but let's go straight to Page 5 and take a look at the development during the quarter. In the market, competition remains intense across all segments and the consumers continue to focus on price, value and affordability. We are convinced that this will continue also going forward, considering the increased price awareness among consumers in general. With our group's business model with different concepts in collaboration, in combination with a wide and affordable assortment, we have the right conditions in place to continue to navigate a dynamic market. The market growth in Sweden Food Retail was 6.2% in the second quarter, and growth was impacted by a positive calendar effect of 1.2% from the timing of Easter. Statistics Sweden reported that the annualized rate for food price inflation was 5.4% in the April to May period. This was somewhat higher than in the first quarter this year. However, on a sequential basis compared to the level at the end of the first quarter, the price development was relatively stable. Growth in Axfood's retail sales amounted to almost 23%. Excluding City Gross, which was acquired in November last year, growth amounted to 9%. As such, our growth was clearly above the rate of the market, both including and excluding City Gross. And volume growth from increased customer traffic and new store establishments as well as pricing and positive mix were all factors contributing to this development. In e-commerce, growth amounted to 12% compared to market growth of 8%. Excluding City Gross and the discontinued business Middagsfrid, our sales grew 6%. We are now on Page 6. Consolidated net sales grew strongly in the second quarter by just over 9%, driven by continued momentum in Willys, Hemköp and Snabbgross. Sales in City Gross amounted to more than SEK 2 billion. However, on a group net sales basis, the contribution from City Gross was SEK 364 million due to internal eliminations in Dagab. Please go to the next page, Page 7. Group operating profit increased to SEK 934 million, and the operating margin was higher at 4.5% -- 4.1%, sorry. Operating profit included items affecting comparability of minus SEK 25 million related to City Gross. Adjusted operating profit, which excludes these items, also increased to SEK 959 million, and the adjusted operating margin reached 4.2%. The development was primarily a result of increased customer traffic, strong growth and efficiency in logistics. Overall, the profit development in absolute terms was driven by Willys and Dagab. However, Hemköp and Snabbgross also reported increased profits year-on-year. So the earnings performance was well balanced in the quarter across our reporting segments. City Gross had a negative impact on the gross profit development, however, to a less extent than in the first quarter. During the quarter, work to streamline our support functions was completed, entailing the removal of 100 existing positions during the second half of this year. This will lead to cost savings of approximately SEK 80 million from next year, 2026, which create conditions for us to continue to invest in price value and the competitiveness of our chains. We continue to focus on efficiency and costs in internal processes and procurement. With our structure and the investments in operations, we have a solid foundation for operational excellence. Now let's go through the development segment by segment, starting with Willys on Page 8. Willys demonstrated a particularly strong performance in the second quarter with growth of 10%, significantly outpacing the market. Willys holds a unique position in the market and continue to be Sweden's most recommended grocery chain. In addition, the brand always come out great in customer service, measuring brand equity. Growth in the second quarter was driven by a positive trend in both customer traffic and loyalty. In total, the number of members in the Willys Plus loyalty program increased to almost SEK 3.9 million. Earnings grew and amounted to SEK 565 million, which corresponded to a stable operating margin year-on-year of 4.5%. The higher profit was mainly driven by increased volumes and a solid cost control. Let's turn to Page 9 and Hemköp. Hemköp also performed strongly in the second quarter with retail sales growth of almost 6%, which was in line with the market, and like-for-like sales growth of almost 5%. This was primarily driven by increased customer traffic and a higher average ticket value. Total net of sales for Hemköp increased 6%. Operating profit increased to SEK 97 million. The operating margin was higher at 4.7%, and it is a clear evidence of Hemköp's positive development in the recent years. The higher profit was mainly driven by increased sales, a stable gross margin and a solid cost control. Turning to Page 10. City Gross has great potential and gives us presence in the hypermarkets, an attractive segment that Axfood previously has not been operating in. This year is a transitional year, and we are working according to our plan to strengthen City Gross for the future. We expect to achieve profitability with City Gross at some point in the second half of 2026, and today, we are reiterating that target once again. We maintain a high activity level by revitalizing the concept and brand, improving the customer offering, implementing a chain management structure and streamlining operations. In late April, a new communication concept and a stronger, more affordable customer offering were launched to contribute to City Gross' competitiveness on the market. Also during the quarter, the store in Bromma, Stockholm was closed ahead of concept change to Willys. And as a reminder, structural measures like this is to create a healthy core in City Gross that the chain can further grow from. Overall sales growth in the second quarter amounted to 2.6% in total and 3.5% on a like-for-like basis. The chain reported an operating loss of minus SEK 20 million in the quarter. This was mainly due to a negative gross margin development following the recent initiatives to strengthen the price position. Items affecting comparability pertain to structural costs, including closing down the store in Borlänge, also ahead of concept change to Willys. The adjusted operating margin was minus 0.9%. Moving on from City Gross, and now we are now on Page 11. Snabbgross continued to deliver strong growth of 6% despite a continued weak cafe and restaurant market. Sales were up almost 5% on a like-for-like basis. Increased customer traffic had a positive impact on sales in addition to a higher average ticket value. Unlike the food retail market, the overall calendar effect related to Easter is deemed to have been negative. Operating profit was higher than in the prior year and amounted to SEK 96 million, corresponding to a higher operating margin of 6%. The increase in profit was mainly driven by higher sales, a stable gross margin and solid cost control. Next page, Page 12 on Dagab. Dagab's net sales -- sorry, increased by 8% with sales to Willys, Hemköp and Snabbgross, driving the increase in the quarter. Operating profit increased to SEK 298 million, and the operating margin was higher at 1.4%. The performance was primarily due to strong sales growth and lower cost levels due to efficiency improvements in logistics operations. The operating profit was, however, negatively impacted by a lower gross margin, and this was a result of increased marketing investments to support Dagab's customers in this highly competitive food retail market. The logistics center in Bålsta is now fully operational since a couple of months and focusing on optimization to continue to improve productivity and efficiency. As previously communicated, Dagab is also planning for the next steps in the development of the logistics structure to create additional capacity and efficiency in the southern part of Sweden from the year 2030, and we will come back to this in the months ahead. Moving away from the segments, and we are now on Page 13. Renewable energy is one of our major focus areas for reducing our climate impact. In April, we officially opened Sweden's largest solar park in Hallstavik plant in Uppland, which we established in collaboration with the solar energy company Alight. Our electricity mix has, for a long time, consisted of almost only Swedish renewable energy. But with the new solar park, we are adding additional capacity to the electricity grid. This helps to increase the conditions for green transition while also creating predictability in our own energy supply. The power consists of approximately 100,000 of solar panels in capacity to enable output of approximately 64 megawatts or 63 gigawatt hours annually, which corresponds to around 15% of our electricity consumption. In addition, we have, in recent years, established Sweden's largest rooftop solar power facility at the logistics center in Bålsta and the large solar power facility on the fruit and vegetable warehouse in Landskrona. Also during the quarter, the phasing out of fossil fuels in transport continued through increased use of renewable fuels. Emissions for our own transport decreased sharply by 20% compared to the previous year. Turning to Page 14. Now it's time for Anders to take you through the financials. So please go to the next page, #15. And Anders, please go ahead.
Anders Lexmon: Thank you, Simone. During the first half of the year, net sales for the group increased by 6.6% to approximately SEK 44 billion. Including City Gross, retail sales increased by 19.3%. Excluding City Gross, the increase was 5.9%, which was higher than the food retail market in total, where growth amounted to 4.1%. Operating profit, excluding items affecting comparability, increased 3.8% to just over SEK 1.7 billion. The operating margin, excluding items affecting comparability, decreased with 0.1 percentage points to 3.9% where the City Gross acquisition impacted the margin with minus 0.3 percentage points. Next, Page #16. During the second quarter, the cash flow was SEK 39 million and compared with last year, SEK 213 million higher, mainly due to a strong underlying cash flow supported by a positive contribution from net working capital and the reversal of the negative calendar effect from the first quarter. We also saw a strong underlying operating cash flow for the first half year. The negative cash flow from investment activities of SEK 475 million in Q2 was somewhat higher compared to last year. We now have a higher pace in investments in our retail operations and the lower pace in automation investments since we now are through with our investments in the fulfillment center in Bålsta. Thanks to the strong operating cash flow, Axfood has reduced the utilization of credit facilities during the second quarter. By the end of Q2, Axfood utilized approximately SEK 2.5 billion of our credit facilities compared with SEK 3.3 billion by the end of Q1 and SEK 2.9 billion at the end of last year. And then please turn to Page #17. The net debt has increased since the acquisition of City Gross in Q4 last year. In addition to the loans raised for the acquisition, net debt also increased with the City Gross leasehold debt of approximately SEK 2 billion. During July, Axfood has successfully refinanced the existing revolving credit facility. The new RCF amounts to SEK 4 billion, where SEK 1 billion have a tenor of 3 years and SEK 3 billion have a tenor of 5 years. The conditions in the new agreement are in all essentials unchanged compared with the old facility. The equity ratio amounted to 18.2%, which was lower than December 2024. The lower equity ratio compared to Q2 last year was a result of the City Gross acquisition. The decrease during the first 6 months was in line with the previous years and is a seasonal effect from dividend paid. Total investments, excluding leasehold and acquisitions for the first 6 months amounted to SEK 844 million. Year-to-date, we have established 6 new group-owned stores in comparison to 4 new group-owned stores during the same period previous year. We have also increased our store modernization somewhat compared to last year. And we are now on Page 18. When we look at the capital efficiency, we had a negative development in our rolling 12 months net working capital. As I have mentioned before, the impact of the City Gross acquisition is expected to increase the KPI with approximately 0.3 percentage points on a rolling 12-month basis. Capital employed has increased over the last years, mainly due to both the acquisitions of Bergendahls Food and City Gross as well as the investments in Bålsta. The level of capital employed, however, decreased during the first half of 2025, mainly as a result of the dividend. Due to the decrease in capital employed, the return on capital employed increased somewhat to 17% compared to last year. And thereby, I have come to the end of my presentation, and I hand over to you, Simone again.
Simone Margulies: Thank you, Anders. We are now on Page 19, but let's go straight to Page 20. Our outlook for the year is unchanged. We have covered investments and items affecting comparability already in this presentation. As for expansion, we have established 6 new group-owned stores so far this year, all of them being Willys and 4 of them were established in the second quarter. Please now turn to Page 21. We summarize a strong quarter in which we grew significantly more than the market and continue to attract both existing and new customers. We have a positive momentum in Willys, Hemköp and Snabbgross and maintain a high activity level to develop City Gross. In the back-end operations, we have become more competitive with our new logistics platform and continue to develop with strategic initiatives in many areas. With the customer meeting and focus, our ambition level is high, and we maintain a high pace of development to further strengthen our position. Just before we go into the Q&A session, and we are now on Page 22. Just a reminder that our Capital Markets Day this year will be held on September 18. The event will be held close to our headquarters in Stockholm at Urban Deli in Hagastaden. At this event, we will cover many areas that are important for our group. The Managing Directors of our retail chains will provide an update of their respective businesses in addition to the Managing Director of Dagab and the Head of IT. Myself and Anders will also present and more details about the CMD and the link to registration is available on our website. That was all for today. So now let's turn to Page 23 and hand over to the operator to open up the line for questions. Thank you.
Operator: [Operator Instructions] The next question comes from Gustav Hagéus from SEB.
Gustav Hagéus: First one relates to Dagab. You made almost SEK 300 million EBIT adjusted in Dagab in the quarter. It was up from almost SEK 250 million last year. But if I recall correctly, you had the freezer incident in Bålsta last year, adding SEK 40 million in costs, and you had the double warehousing adding another SEK 30 million, so that's SEK 70 million one-off sort of that I assume you did not have this quarter. So that would mean that Dagab EBIT is down SEK 20 million roughly or 20 basis points on the margin. And basically, EBIT is in line with Q2 '22, right, in terms of absolute EBIT, and that is on a total group top line that is 25% lower. And I assume a lot of those volumes go through Dagab. And so I'm a bit curious if you could elaborate a bit on this dynamic given that you're supposed to have some savings now from the ramp-up of the automation investments in Bålsta of SEK 300 million. To what extent did that actually impact in a positive way in the quarter? And what is the reason to this development in terms of earnings for Dagab, that would be helpful.
Simone Margulies: Yes. Thank you. If we look to Dagab, Dagab has a strong growth due to the growth in our chains, Willys, Hemköp and Snabbgross. And we also see the productivity gains and efficiency gains in Dagab. However, we have a weaker gross margin since we're doing marketing investments to support the customers. And that's -- to elaborate Dagab, we see the efficiency gains coming as we are suspected and how we also have, I would say, communicated before, but we have a weaker gross margin. But on the other hand, just to look in a whole, Dagab is performing better than last year. And also, we see a strong growth in our chain. So it has been a strategic decision from us to drive the good performance in all and to use our business model in that way.
Gustav Hagéus: Yes. Okay. But curious on that, given that you then give away the efficiency gains to your customers basically from Dagab. And I guess most of those refer to internal ones like City Gross and Willys. We saw Willys outgrowing the market in Q2 on like-for-like, but margins were flat. So it seems very costly to drive growth in the market and given that there's no volume growth in the market, basically, right? So with that in mind, how convinced are you that it's the best use of capital to expand warehouse capacity further now, given that it's hard to sort of see at least from an external perspective, see the returns on the investments in Bålsta at this stage?
Simone Margulies: Yes. If you look upon us as a group, we make a stronger result this quarter, and we're happy since we have a weaker result for a couple of months and to see that we're now turning to a stronger result as a group. And I think that's important for us to see how we grow as a whole. For us, it's really -- it's a very competitive market. And for us, it's always about gaining market share, growing volumes, growing loyalty from the customers and by that going backwards. And in parallel, we're doing efficiency -- taking efficiency measures, of course, with investments in Dagab, but also as a group as a whole, we have a focus on costs and efficiencies where the efficiency the work we've been doing with the support function is one part of increasing the focus on costs and efficiency. And for us, it's all about creating the possibility for us to invest in the customer meeting to be really competitive in the market. And I would say, since we're growing -- outgrowing the market, I think we're doing it quite successfully.
Gustav Hagéus: Okay. And Lastly, just to clarify, those SEK 200 million to SEK 300 million savings from Bålsta, to what extent are they prevalent in this quarter? And to what amount will you see a year-over-year effect in 2026 from those savings that you have guided before?
Simone Margulies: No. We -- as we said in the first quarter, we will start to reach those levels from the second quarter, which we are doing. And then by that said, we will continue to optimize the facility, and that's a part of our daily operations and also a way of doing like everyday improvements to create even more efficiencies. But I would say we have the pace that we had said and communicated in the first quarter that we're supposed to do in the second quarter. But on the other hand, we have weaker gross margins, and that's on the negative side -- in Dagab. But as a group, we gain the results and the profitability that we expected.
Operator: The next question comes from Fredrik Ivarsson from ABG.
Fredrik Ivarsson: I've got 3 questions, taking them one by one. First one on Willys. You mentioned that the number of store visits were up. Curious to hear whether you see a lot of new customers showing out the concept? Or is the sort of increase mainly current customers coming back more frequently?
Simone Margulies: So for -- to start with that question, in Willys, we both see increase in members in the loyalty program, Willys Plus. We also see an increased frequency on existing customers, and we also see an increase in penetration, which means that we meet new customers. So we see positive effects in both new and existing customers.
Fredrik Ivarsson: Okay. Good. Second one, coming back to Dagab and the efficiency gains. You say you expected SEK 200 million to SEK 300 million, and it sounds like you're somewhere there already or in Q2, but it's a fairly wide range. So curious if you could share your assessment of where you are in terms of those SEK 200 million to SEK 300 million? And what kind of upside you see from here?
Simone Margulies: Yes. So as we said, we were in the lower -- as we said, it's a span, and we're in the lower range. And as I said, we will continue to do trimming the facility and optimizing it to reach the higher level and then do that gradually.
Fredrik Ivarsson: Right. Good. And last question also on Dagab. You said you took some investments to support the chains. Can you confirm that this is mainly price investments? And also if you could share whether these investments were spread across all chains or if it's more related to any specific banners?
Simone Margulies: Dagab is our support company, and they are supporting all our customers and all our brands, and they're doing it a little bit differently, depending on what need they have. But they are supporting all the things and the customers also.
Fredrik Ivarsson: And was it mainly price investments or any other kinds of support, as you call it?
Simone Margulies: What do you mean with other support?
Fredrik Ivarsson: No, I'm just curious whether those investments you made were mainly price cuts or price investments or if there was any other...
Simone Margulies: It's mainly to have a competitive conditions for the consumers and the customers.
Fredrik Ivarsson: Okay. Good. That's all my questions.
Operator: The next question comes from Daniel Schmidt from Danske Bank.
Daniel Schmidt: You gave us some numbers when it came to the Q1 quarter for City Gross. We have -- we don't have the history, but you basically said that you had the same EBIT in Q1 as you had in Q1 last year. And it is quite a big improvement quarter-over-quarter, and I do appreciate that we have the calendar effect and all that. But could you give us any rough numbers on where you were in Q2 last year on City Gross in terms of losses?
Simone Margulies: Yes. To start with, it's -- we have a high activity level in City Gross, it's a year of transition, and we're doing many different improvements in both developing a new store concept, improving or revitalizing the brand. We have decreased the prices during the Q2. So I mean, it's a wide agenda that we're working with. And we see, as you say, a little bit stronger sales, but we should also -- to be honest with you, as we are in the report in hypermarkets, we see clearer and stronger seasonal effects according to Easter and mid- summer in hypermarkets than we've seen in our other formats. So I would say it's too early for us to say that actually that now we're turning it to something. I mean, we said that we will turn it to profitability in the second half of 2026. And this year is a year of transformation. So of course, it's -- you can see some positive growth in like-for-like, which is really -- we're really happy to see. But it's too early to say that we have turned it around. We will -- we need this year, and we will work until the second half of next year to turn it to profitability. So -- but of course, we have a little bit positive in like-for-like and also a little bit less loss in the Q2 than Q1, and it's pretty much in line with last year Q2, a little bit stronger, but from low levels, as you can see.
Daniel Schmidt: Because it does look like even if you adjust for Easter, and I appreciate that it's a larger impact on City Gross than for the rest of the group maybe. But if it's 1.2% as a total effect in terms of Easter, I would assume still that you would have a positive like-for-like also adjusted for Easter in City Gross. Is that correct?
Simone Margulies: Yes, that's correct.
Daniel Schmidt: Okay.
Simone Margulies: And -- but sort of -- we did price investments, as you know, from the second quarter, and that has also an effect, of course, both in top line and in the gross margin.
Daniel Schmidt: Yes. Is it fair to say that those price investments are entirely subsidized by Dagab then given the discussion we had on Dagab?
Simone Margulies: No, no, no. They're taking in the -- I mean we don't go into any specific agreements between our different customers. Dagab is supporting all the chains. And as you can see, there's a lower gross margin in City Gross, and that's the result of reduced prices in City Gross. So they're taking in City Gross.
Daniel Schmidt: Okay. And a completely other question then. There's been sort of back and forth situation with Mathem over the past couple of months. What do you expect? And what do you see there in terms of -- given that you are the biggest supplier to Mathem, what impact has that had already in Q2? And what do you see now?
Simone Margulies: To start with -- I mean, clear questions to Mathem, it's better to ask them. The reconstruction was approved yesterday. And we hope really that they find a way going from that to create a healthy business. But for us, it's a small impact. Dagab, as you say, a supplier, it's less than 1% of Dagab's sales that we deliver to Mathem.
Daniel Schmidt: Okay. And was that sort of 1.5% a year ago? What has been the impact over the past year basically?
Simone Margulies: No, I think it's better if you ask questions about Mathem to Mathem. We have a big respect for our customers. So we don't say how their sales are going.
Daniel Schmidt: Okay. Okay. Just a final then. You announced today that you will sort of -- you will generate savings of around SEK 80 million as of 2026 from the staff cuts that you've been conducting. Should we expect any sort of severance charges in the coming quarter? Any guidance on that?
Simone Margulies: We've taken that in the second quarter. So the cost for the employees is taken in the second quarter across all segments, majorly City Gross and Dagab.
Daniel Schmidt: Okay. So was that included in the SEK 25 million one-off then?
Simone Margulies: Yes. For City Gross in the SEK 25 million and for Dagab and Axfood, they're part of the result.
Daniel Schmidt: Okay. And is that meaningful numbers or sort of any guidance on that?
Simone Margulies: No.
Operator: The next question comes from Niklas Ekman from DNB Carnegie.
Niklas Ekman: Yes, most of my questions have been asked already here. But maybe just a follow-up here on Willys and the very strong growth here of over 10%. That's a market pickup from the 3% growth we've seen in recent quarters. How much of this would you say is just easy comparisons? And how much -- is there any notable change in the competitive landscape that you've seen compared to what we've seen in the past 4 quarters?
Simone Margulies: No, I would say that the landscape is pretty much the same. There's a high competition and also there's still a strong price sensitivity by the consumers. So Willys, it's a really, really strong performance, as you say, from them, both in like-for-like sales and also with 4 new stores in the last quarter that creates also some growth. But the majority, as you say, is from like-for-like growth.
Niklas Ekman: Okay. Very clear. And just adding the numbers here, you are outgrowing the market by more than 2.5 percentage points. ICA, we don't know, but in the first 4 months, at least, they outgrew the market by almost 0.5 percentage point, and you guys are 75% of the market. So it seems like the others are losing significantly. I mean, are we talking almost double-digit declines in -- or underperformance from Coop, for instance? Or what are you seeing out in the market?
Simone Margulies: I mean we see the same as you do. So I mean, better to ask the competitors about their figures. We see, as you say, that we're really outperforming the market and doing really well. And we are primarily so happy to see that there are so many customers that is doing their grocery shopping in our stores. That creates volumes for us, which means that we can scale on our investments that we made. And together with the increased productivity, it makes a good position for us to grow from.
Niklas Ekman: Very good. Very good. And also just coming back here to City Gross. If we had SEK 80 million in loss in Q1, SEK 20 million now in Q2, and both of those seem to be largely in line with what you had last year. Can you give us some guidance on what underlying was in Q3 last year?
Simone Margulies: I would say that -- I mean, last year was SEK 200 million on a rolling 12, yes. So that's -- and last -- the fourth quarter was SEK 40 million for us. That's when -- what was the part that we had in our figures. So then you calculate backwards. So November, December, we had SEK 40 million and they had SEK 200 million approximately on rolling 12 months. Yes. And for us, to be clear, I mean, we are building City Gross for the future. So we're not doing any like quick fixes. We are really aiming to create a really strong hypermarket segment here, and that will take time. So yes.
Operator: The next question comes from Rob Joyce from BNP Paribas Exane.
Robert W. Joyce: First one, just thinking about Willys and the operating leverage there as we look into the second half. I guess sort of let's say the half as a whole for the first half, you got 5% like-for-like, probably 1% of volume growth in there at least and flattish margins. How do we think about the second half? Do we think we should see more operating drop-through in terms of that margin in the second half? Or are we thinking broadly flat margins still?
Simone Margulies: We don't do any guidance for the future. I mean, for us, it's really important to keep a good momentum in Willys to continue to attract new customers. And we had really strong performance this quarter and also over time. So yes, there is a competitive market and as we told before, for us, it's always about having a really, really strong customer meeting. And then we -- by that, we get volumes and then we have to be really efficient and have focus on costs. And by that, we create a good and healthy results and growth. So for us, it's difficult to -- we don't do the guidance for the future.
Robert W. Joyce: Okay. Okay. And then maybe we can help think about some of the gross margin investments you've made at Willys. Are you able to give us an idea of how the price position sits, particularly versus, I guess, Ica Maxi now. Has there been any change there and where that is absolutely?
Simone Margulies: Yes. For competitive reasons, we don't go into detail about our price strategies and price gaps. For us, the business idea for Willys is to have the cheapest bag of groceries in Sweden, and we will never lose that promise to the customers. But I won't go into any details about the pricing strategy.
Robert W. Joyce: How do you think it's improved now with those investments. Are you seeing -- can you at least give us a directional sense? Is the pricing improving? Or is it kind of holding its own?
Simone Margulies: But there's still a high competition in the market. And the gross margin in Willys is down a little bit, and we're compensating it with volumes and cost efficiencies, and that's how we are able to create a stable profitability -- a growing profitability but a stable margin in Willys. But to be clear and honest, there's still a very high competition and the gross margin is down a little bit in Willys.
Robert W. Joyce: Okay. And then final one. On the working capital now for the year, so strong performance in the half versus last year. Do we have an idea of what sort of working capital levels we should be expecting in terms of inflow for the year now?
Anders Lexmon: We believe that we will see a quite stable development. And as I mentioned, if you compare to net sales, we have a little dilution according to -- or due to the City Gross acquisition and that we will see in the Q3 as well.
Operator: [Operator Instructions] There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Simone Margulies: So thank you all for joining us today, and I wish you all a really nice summer and see you back in August or September, I mean, sorry. See you.